Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the WeWork Third Quarter 2021 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Chandler Salisbury, VP of Investor Relations, you may begin your conference call.
Chandler Salisbury: Good morning and welcome to our third quarter 2021 earnings call. I am Chandler Salisbury, VP of Investor Relations and Corporate Development. With me today is Sandeep Mathrani, our CEO; and Ben Dunham, our CFO. During today’s presentation, we’ll refer to our earnings release and supplemental presentations, which have been filed with the SEC and can be accessed at investors.wework.com. Today’s presentation may include forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. We’ll also discuss certain non-GAAP financial measures, which we believe are meaningful in evaluating the Company’s performance. Additional disclosures regarding these non-GAAP measures, including a GAAP to non-GAAP reconciliation are included in our quarterly report and supplemental presentation. With that, let me turn it over to Sandeep.
Sandeep Mathrani: Thank you, Chandler. And thank you all for joining us today for our very first earnings call as a public company. As I look back on the journey to this point, I recognize that it would not have been possible without the support of our core constituents, our members, employees, shareholders, landlords, and service providers. As I’ve said before, but can’t say enough, I’m a firm believer in the words of Peter Drucker that “culture eats strategy for breakfast”. We’ve spend the past two years focusing on our core values and incorporating that into our Company DNA. Our core values are: do the right thing; strive to be better together; be entrepreneurial; give gratitude; and be human, be kind. Today, as a public company, we believe we have a clear strategy for growth with a focus on executing across our product suite. Now, turning to the third quarter results. I’d like to break down the results into our three business strategies: Space-as-a-Service; WeWork Access; and WeWork Workplace Management, our workplace management solution. I’d like to call these three elements the three legs of the stool, each provides a unique support to the WeWork organization as a whole by providing differentiated offering and revenue streams. Let’s talk about Space-as-a-Service first. As we previewed during our Investor Day last month, our third quarter sales and operating results were very strong. Consolidated net desk sales were 84,000 in the third quarter; gross desk sales, which include new desk sales as well as renewals were 155,000 in the third quarter, which equates to approximately 9.3 million square feet sold. Through this, we are starting to see flex as a separate channel of distribution. Certain of our immediate [ph] lot bid members and enterprise clients anticipate flex going to approximately 20% of their office network, and in that way, a separate channel of distribution akin to e-commerce becoming a separate channel of distribution to be kept. As at the end of 2019, flex office stood at 2% of commercial office and is anticipated to grow to 20% to 30%, according to CBRE and JLL. So, we believe the potential TAM, the total addressable market, for our business is quite large. For two quarters in a row, we have shown flex office has taken a growing share of the demand. While WeWork accounts for about 0.5% of the U.S. inventory, the Company sold the equivalent of over 9% of U.S. office leasing activity in the third quarter, an 18x multiple. At the market level, WeWork’s Q3 gross sales in Manhattan were equivalent to 20% of the traditional office market take-up, while WeWork’s portfolio of 7 million square feet accounts for approximately 1% of the total office stock. WeWork saw similar leasing activity in a number of its largest markets. WeWork’s gross sales equated to 37% of London’s traditional office take-up and 13% of Paris’ take-up while approximately being 1% of stock in both those markets, and 23% of Boston’s take-up in the third quarter, where WeWork represents approximately 2% of the office market. As you look at some of the largest landlords in the U.S., Boston Properties, which has a national footprint of 52 million square feet; and Alexandria, which has a footprint of approximately 32 million square feet, leased 1.4 million and 1.8 million square feet, respectively. By comparison WeWork has a global footprint of 47 million square feet and entered into membership agreements of over 9 million square feet in the same period. At the city level, if you look at some of the largest landlords in New York City like Vornado and SL Green, they have 20 million square feet and 27 million square feet of office space in Manhattan, and they leased 757,000, and 450,000 square feet, respectively. WeWork has about 7 million square feet in New York City and entered into membership agreement for approximately 1 million square feet, again, demonstrating the flex as a separate channel of distribution. Small and medium businesses comprised roughly two-thirds of our new desk sales in the third quarter. And these smaller scale businesses continued to see the impact of long-term remote work and look at flexible solutions for bringing people together. The average commitment term for SMB, small and medium businesses was 14 months in the third quarter, and the average commitment term for the enterprise was 28 months. Overall, on average commitment length remained steady at 21 months. Most telling [ph] we’ve also seen a marked improvement in churn and in average revenue per member. As of the third quarter, churn has decreased approximately 3.5%, which is below pre-pandemic levels and some of the lowest levels in WeWork’s history. For reference, in 2019 churn was about 4.5%. Average revenue per member for new members signing with us also increased approximately 30% since year-end 2020 levels. Take New York and London, our two largest markets that were highly impacted by the pandemic. We have seen meaningful improvements in ARPM throughout 2021 in conjunction with membership growth and improving occupancy. In London ARPM is 14% higher than pandemic low and is actually 4% greater than the pre-pandemic Q4 2019 levels. Physical occupancies increased 10 percentage points throughout the course of 2021 to 51% in September. It is important to note that we achieved these occupancy improvements despite opening approximately 10,000 net desk or approximately 17% of the portfolio between Q3 2019 and Q3 2021 related to locations that have been started in the pre-pandemic era. Excluding these 10,000 desks, our occupancies wouldn’t have been in the high-60s. [Ph] Similarly, in New York, ARPM is 11% higher than the pandemic lows and is within 10% of Q4 2019 pre-pandemic levels. Occupancy in New York has increased approximately 20 percentage points throughout 2021 to 62% in September. This trend is not isolated to these larger cities. We’re experiencing positive ARPM and occupancy momentum across the portfolio and expect this trend to continue as more people return to the office and demand for flex workspace continues to ramp. Our strong second quarter desk sales translated into continued sequential occupancy increases in the third quarter as we saw a physical memberships grow by 12% from June to September of 2021. Our physical consolidated membership increased to 432,000 for a physical occupancy of 56% as of the end of Q3. If we include the incremental 30,000 net memberships that we are already contracted to move in, our physical occupancy including the signed but not occupied memberships would increase to 60%. In October, preliminary physical membership occupancy rose another 3 points in 59%. Including signed and our occupied memberships, physical occupancy was up to 61%. If you look just as memberships, we are only 29,000 physical memberships or 6% lower than pre-pandemic levels in Q3 2019. It almost recovered to pre-pandemic levels from a membership perspective. It is important to note that this is -- it is important to note the footprint expansion, the 31% growth in desks over the same period. So from Q3 2019 to Q3 2021, we grew up footprint in the pandemic by 31%, which is the primary driver of the lower occupancy figure. Without this increase of 31%, occupancy would have been in the 80s. [Ph] In October, we also announced the closing of our Latin American joint venture with SoftBank, which we will continue to consolidate. To date, we have franchised or established a joint venture agreement with Japan, Israel, China, India, and LatAm. Now, let me turn to the second leg of the stool, WeWork Access. Our WeWork Access offerings, which includes both, our on-demand and monthly subscription products across hundreds of enabled locations around the world, continues to see demand at a full spectrum of flexibility. All Access represented 32,000 memberships as of September 2021, an increase of 60% quarter-over-quarter and equivalent to signing roughly a 1,000 memberships each week. In October, the total number of All Access memberships was 38,000, almost 1,500 members per week, showing further acceleration of our sales activity. We believe the All Access product also increases the stickiness of our customer base as companies often bundle access passes with their flex agreement, opening the doors to our global network of All Access locations to their resolve. And now, onto the third leg of the stool, Workplace Management. As companies increasingly embrace more flexible and hybrid work strategies, many are looking for tools to optimize their real estate portfolio, while managing how and where employees work across assets and markets. Leveraging the software that we have built to manage and analyze our own spaces, our workplace experience management software provides a turnkey solution that enables companies and their employees to seamlessly implement the right hybrid model for their needs or maximizing on their existing portfolio. We are in the early days, of course, but we anticipate selling our workplace management product commercially beginning in 2022. We’ve begun to see initial successes in our software products with several key strategic initiatives. The first, Hudson’s Bay Company currently utilizes WeWork’s hospitality and workplace management software to power its new co-working business, SaksWorks at five initial locations in Manhasset, Greenwich, Eastchester and Brookfield Place, and the Saks Fifth Avenue New York flagship in Manhattan. Building on this, we most recently announced an agreement with Ivanhoé Cambridge, where WeWork will provide Ivanhoé’s first flexible work with amenity offering at the iconic Esplanade Place Ville Marie building in Montreal. Anticipated to open in early 2022, 11,000 square foot -- amenity space will be managed by WeWork and offer exclusively to PVM tenants. This further demonstrates the value of WeWork’s hospitality and management expertise as certain landlords look for opportunities to enrich their offering to tenants its flexibility and community. As initially announced in August of 2021, Cushman & Wakefield completed $150 million investment at the close of deep SPAC transaction in October and thought as part of our strategic business agreement. We continued to work with Cushman to further develop new offerings for owners and occupiers to two main initiatives: The first initiative is designed to help building owners and corporate occupiers improve the daily user experience, we’ve used the WeWork’s proprietary software that will integrate traditional building features like access control and reservation systems, on-site hospitality and the management program. The second initiative will allow owners to create new revenue streams by operating flexible workspace centers within their portfolio. As enterprises look to seamlessly adopt new flexible hybrid work models and priorities employee experience, we have begun early discussions with corporate occupiers for pilot program opportunities to leverage these offerings. So, Hudson’s Bay Company, , Ivanhoé Cambridge and Cushman & Wakefield, as well as the several other enterprise companies are currently working with the tailored solution to help meet the specific needs of the organization, an example of how not only are our memberships still flexible, but our product suite is too. We are able to offer custom combinations of our workplace management software and a hospitality’s based expertise to create an offering that serve business at different stages in their life cycle and with different hybrid model.  And with that, I’d like to turn it over to Ben to walk you through our third quarter financial results.
Ben Dunham: Thanks, Sandeep. Today, I’ll discuss our third quarter results and provide an update of our liquidity position, following the closing of the business combination with BowX. On a global basis, we ended the third quarter with 932,000 workstations across 764 locations and 546,000 physical memberships. Our consolidated operations accounted for 766,000 workstations across 631 locations and 432,000 physical memberships. Consolidated physical occupancy rate was 56%, up from 50% in the second quarter. As a reminder, our consolidated operations include all locations, except for those in China, India, and Israel. All Access memberships accounted for an additional 32,000 memberships as of the end of the third quarter. Third quarter revenue of $661 million, increased $68 million or 11% quarter-over-quarter. The Since recent trough in April 2021, revenue has increased sequentially throughout the second and third quarter, reaching a high point for the year in September and our fifth straight month of revenue increase. The strengthening desk sales trends that began in the back half of the first quarter have continued through the second and third quarters. As members move in, we have seen an increase in membership and service revenue, a trend that we expect to see continued throughout the remainder of the year. As Sandeep mentioned, new sales pricing has improved throughout the year, and we are starting to see those trends reflected in the income statement as average monthly revenue per physical membership increased quarter-over-quarter. Location operating expenses of $752 million decreased $28 million or 4% sequentially, and $84 million or 10% from the prior year’s quarter, predominantly reflecting the ongoing impact of our portfolio optimization efforts. Excluding stock-based compensation and certain non-recurring expenses, SG&A was $225 million in the third quarter, roughly flat to the second quarter. Aligned with membership reflecting in the first quarter, followed by revenue in the second quarter, adjusted EBITDA showed meaningful improvement in the third quarter. The sequential increase in revenue flowed through to the bottom line and we also benefited from the continued focus on managing cost. Adjusted EBITDA loss was $356 million, which is a $93 million improvement relative to the prior quarter and $136 million improvement relative to the prior year. Our net loss was $844 million in the quarter, an improvement of $79 million sequentially and $155 million relative to the prior quarter. Net loss included $262 million of non-cash or non-recurring expenses, which were primarily depreciation, amortization, and impairment. We reported free cash flow of negative $430 million, which represents an improvement of $219 million sequentially. Operating cash flow was negative $380 million. As all of you know, we recently completed our merger with BowX in the related PIPE and equity investment from -- I’m sorry, equity investment -- Cushman & Wakefield, and are now publicly traded company. The transaction provided the Company with $1.2 billion in proceeds net of transaction cost. Upon completion of the merger, we modified our existing $1.1 billion senior secured note facility to a $550 million facility and repaid $350 million of our secure commercial paper facility. Pro forma for those transactions, we ended the third quarter with $2.3 billion in cash and unfunded cash commitments. This includes approximately $477 million of available cash on hand, $1.2 billion in net proceeds from the completed business combination, $550 million available in our modified senior secured note facility, the repayment of our $350 million secured commercial paper facility and an additional $450 million letter of credit facility capacity. In terms of capital structure moving forward, like any public company, we are constantly evaluating market conditions, our liquidity profile and financing alternatives for opportunities that enhance our capital structure and diversify our investor base. From time to time, we may modify our existing debt or seek additional debt or equity financing. I’ll now turn it back over to Sandeep for some comments before we open up the line for Q&A.
Sandeep Mathrani: Thanks, Ben. Needless to say, we’re very pleased with all that we’ve accomplished in the third quarter and especially proud of executing on our plan. We continue to make progress towards our goal of being profitable in 2022. Adjusted EBITDA has improved substantially, $93 million in the third quarter. We’ve also delivered meaningful improvement in operating cash flow.  Finally, we have always said that this recovery will be a matter of [Technical Difficulty]. We continue to see month-over-month increases in our membership base and occupancy levels. Preliminary occupancy in October was 59%, up from 56% at the end of September. If you add in signed but not occupied members, you get to 61% occupancy. The number of markets we’ve been with 70% occupancy is also very encouraging and is an indicator of the broad-based momentum we’re experiencing globally. 22% of the 21 of our markets had occupancy of more than 70% at the end of the third quarter, this increased to 30% or 28 markets in October. In sum, sales and pricing momentum is strong. Occupancy continues to increase. And we remain disciplined with respect to our cost structure. All these factors give us confidence that we’ll become adjusted EBITDA profitable in the first half of 2022. With that, operator, please open up the line to questions.
Operator: [Operator Instructions] And your first question comes from the line of Karru Martinson from Jefferies. Your line is open.
Karru Martinson: Good morning. As folks return to work here as September was a big a month and then obviously the pushbacks with Delta variant to October and beyond, what are you hearing from your corporate clients in terms of the pace of signups and actually utilization of that office space?
Sandeep Mathrani: So again, look, in our business, in Europe footfall is back to 40% to 50%, again, and at pre-pandemic levels, they were at 60%. So, it’s a decline of 10%. In New York, it’s about 30% to 40%. Like I said, pre-pandemic was 50%. So, I’d say about two-thirds of the way there from a football perspective in our assets. And as you know -- I mean, there’s been a delay off the start, again, everyone that sort of looked at January stuff from the large enterprise basis. However, the SMB client base is essentially back to pre-pandemic levels.
Karru Martinson: Okay. And then, in terms of the guidance, EBITDA breakeven or positive in the first half of ‘22, kind of felt that earlier guidance had been that we have that break even kind of around the end of the first quarter. Is this a change or an extension of that time horizon?
Sandeep Mathrani: Actually what we’ve sort of maintained is we would have profitability in 2022. We feel right now that we will get to the occupancy levels to drive profitability by Q1 of 2021. And there’s usually a 90-day lag or so between occupancy levels and revenue recognition. So, it should be down in the first half of 2022.
Karru Martinson: Okay. And just lastly, in terms of the commentary that you -- when you’re looking at marketing conditions as a public company, I mean, what is the ideal structure that you guys would like to put in here from a longer term perspective?
Sandeep Mathrani: Could you explain your question a little bit further?
Karru Martinson: So, when you stated that you’re regularly evaluating market conditions to enhance the capital structure, diversify the investor base, so when you’re looking at the structure that you have today, what would you like to change about it that could -- would put it into a better structure for a public company now with the market cap that you have and the time horizon that you’re looking at?
Sandeep Mathrani: So, predominantly, the way we look at it is effectively we’ve got about $2.9 billion of debt coming to you in 2025, $2.2 billion is the SoftBank and about $700 million is public bonds. And so, when we look at what we would like is, we would like to see that debt number go down over a period of time that we have three years, but debt number could go down. And we would like to see whether there is a way to change the holders on that. And so, predominantly, can we pay down some of the SoftBank debt earlier, rather than later, so. But we again feel having a $2.9 billion of debt, which is obviously less than one time revenue, we sit in a pretty good position.
Operator: And your next question comes from the line of Rajiv Savardekar from Credit Suisse. Your line is open.
Unidentified Analyst: Hey guys, it’s actually [indiscernible] from credit Suisse. Just following up on Karru’s questions with regard to liquidity and the capital [Technical Difficulty]
Operator: I apologize. It looks like his line did disconnect. And we do not have any further questions at this time. So, I’m going to have to turn the call back over to Mr. Sandeep for any closing remarks.
Sandeep Mathrani: In closing, I wanted to express how pleased I am with our performance and all we’ve accomplished in 2022. This would not have been possible without the tremendous work of our employees and the support of our global community. I would like to point out that we’ve been thinking a lot about what inflation means to WeWork. Since inflation is generally good for real estate, rates generally go up and therefore our current rental rates that we have with our landlord seems to be at or below market. We provide a turnkey solution and therefore there is no cost included to put to client in there. So the supply chain issues, increased construction costs should in the short, say over the next 12 to 18 months be highly advantageous as people come back to work. Thank you everyone for joining the call today. We appreciate the ongoing support. And if you have any follow-ups, please do not hesitate to reach out to Chandler Salisbury. Have a great day.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.